Operator: Welcome everyone. The Vishay Precision Group, Inc. Fourth Quarter 2025 Earnings Call will begin shortly. Hello, everyone, and thank you for joining the Vishay Precision Group, Inc. Fourth Quarter 2025 Earnings Call. My name is Claire, and I will be coordinating your call today. During the presentation, you can register a question by pressing star followed by one on your telephone keypad. If you change your mind, please press star followed by 2 on your telephone keypad. I will now hand over to Steve Cantor, Senior Director, Investor Relations at Vishay Precision Group, Inc., to begin.
Steve Cantor: Thank you, Claire. Good morning, everyone. Welcome to Vishay Precision Group, Inc.'s 2025 Fourth Quarter Earnings Conference Call. Our Q4 press release and slides have been posted on Vishay Precision Group, Inc.'s website. An audio recording of today's call will be available on the Internet for a limited time and can also be accessed on our website. Today's remarks are governed by the safe harbor provisions of the 1995 Private Securities Litigation Reform Act. Our actual results may vary from forward-looking statements. For a discussion of the risks associated with Vishay Precision Group, Inc.'s operations, we encourage you to refer to our SEC filings, especially the form 10-K for the year ended 12/31/2024 and our other recent SEC filings. On the call today are Ziv Shoshani, CEO and President, and William M. Clancy, CFO. Ziv, I'll now turn the call to you for some prepared remarks.
Ziv Shoshani: Thank you, Steve. I will begin with some commentary on our results and trends for the fourth quarter and on our strategy. William will provide financial details and our outlook for 2026. Moving to Slide three. To summarize our Q4 2025 results, Q4 marked our fifth consecutive quarter with a book to bill over one, led by Sensors. While Q4 gross margin reflected a number of headwinds, we expect gross margin to improve in Q1. With sensors ramping and backlog at a multiyear high, we expect higher shipments beginning in Q2 and continued progress on our growth initiatives. Specifically, fourth quarter revenues of $80.6 million were up 11% year over year, and 1% sequentially, reflecting solid execution across the portfolio. We achieved another quarter of positive booking trends as our consolidated orders of $81.3 million grew 2% sequentially. This resulted in a book to bill of 1.01, the fifth consecutive quarter of book to bill of one or better. We continue to make good progress across our business development initiatives, including humanoid robots and semiconductor equipment. These efforts generated $11.8 million in orders during the fourth quarter, bringing total orders from these initiatives to $37.8 million for the full year of 2025, which exceeded our goal of $30 million for the year. Our fourth quarter adjusted gross margin of 37% was impacted by $3 million of headwinds, including unusual unfavorable product mix, inventory reductions, and discrete inventory and manufacturing impact. We expect gross margin to improve in Q1. We are currently ramping production of Sensors products and expect to realize higher sales in the second quarter. I'll now review the business performance by segment. Moving to Slide four, beginning with our Sensors segment, fourth quarter revenue was 4% sequentially, but was 18% higher than a year ago. Compared to the third quarter, continued strength in test and measurement related to semiconductor equipment was offset by softer sales to the AMS and the general industrial market. Booking for sensors continued its positive trend and reached its highest level in thirteen quarters. Sensor bookings rose 4% sequentially, and were 30% above a year ago, resulting in a book to bill of 1.15. The bookings growth from the third quarter was driven by higher orders in general industrial, our other markets for consumer electronics, and AMS. In addition, we are pleased with the demand related to the test and measurement market, particularly for semiconductor test equipment applications. Total sensors orders were up 18% in 2025 compared to the first half. With sensors backlog at the highest level since 2023, we are currently hiring to ramp up production to meet demand which should lead to increased sales beginning of Q2. A key highlight continues to be our growing momentum with humanoid robot developments. In Q4, we received $800,000 in humanoid related orders including a follow-on bookings for our first two customers and an initial prototype order for the third. This new customer is an emerging robotics company developing humanoids to enhance productivity and streamline daily operations in both homes and warehouse environments. In addition, in January, we received follow-on orders from one of our initial two humanoid customers of approximately $1 million. 2026 is expected to be a pivotal year for the overall humanoid robotics market as leading companies move decisively from prototype into early production and real-world deployment. Technical challenges remain, but they play directly to our strength and create strong demand for our high-value, high-performance solutions that solve their problems in advance dexterity, stability, responsiveness, and safety. While the timing and scale of production ramps across the humanoid robot market remain unclear, we expect 2026 to bring continued momentum for Vishay Precision Group, Inc. Our infrastructure and supply chain teams are prepared to support customers' production demands. Moving to Slide five. Turning to our Weighing Solutions segment. Fourth quarter sales increased modestly from the third quarter and grew 7.8% from the prior year. The sequential increase was primarily evident in our industrial weighing market. Weighing Solutions orders were up 14.9% sequentially to $28.2 million resulting in a book to bill of 1.02. Specific areas of strength were in our other markets for precision ag, medical, construction, and e-bike applications. Orders were also higher in the transport for onboard weighing systems for heavy-use trucks. While there are signs that some of these end markets have reached their cyclical bottom, we continue to see mixed trends across our OEM customers. Moving to Slide six. Turning to our Measurement Systems segment. Revenue in the fourth quarter of $22.4 million increased 9% sequentially and 6% from a year ago. The sequential increase reflected a record high sales for DSI R&D tool for the development of new metal alloys. We also had higher sales in AMS for testing new Avionics platforms. Fourth quarter measurement systems orders of $18.1 million declined 16% from the third quarter and resulted in a book to bill of 0.81. Lower orders in our steel market mostly reflected the timing of projects in the middle of a soft global steel market, offset by stronger sales of DTS products used in crash safety testing. Our pipeline remains healthy and given the timing of customers' projects, we expect to return to a positive book to bill in Q1. Moving to Slide seven. Looking at the year, in total fiscal 2025 was a year of transformation for Vishay Precision Group, Inc. While our revenues of $107.2 million grew slightly from the prior year, sales in the second half were up 9% from the first half. In addition, we had a steady improvement in orders through the year, particularly in the sensor segment. Our performance in our business development initiatives of $37.8 million in 2025 exceeded our goal of $30 million for the year. We also delivered $4.5 million of targeted cost reductions as part of ongoing cost efficiency plans. Moving to Slide eight. Most significantly, during 2025, we took steps to position Vishay Precision Group, Inc. for its next phase of accelerated growth. Over the past several years, we strengthened and streamlined our operation to support higher volume opportunities and sharpen how we develop and track our growth initiatives. Those efforts have prepared us to move into the next phase, which involves a fundamental rewiring of our business. As we announced in November, a key component is the creation of two new senior executive positions and corresponding organizations: the office of the Chief Business and Product Officer, and the office of Chief Operating Officer. Each organization has a clear mandate. The CBPO's focus is on accelerating growth by refining our internal sales and product development processes, thus expanding our opportunity set and increasing our conversion rate with both new and existing customers. The COO organization is supporting this accelerated growth by driving improvements in operational efficiency and readiness while also reducing our cost structure. Creating these cross-divisional centers of excellence organizations marks a major shift from the diversified operating structure that defined much of our history. The reason is simple. The opportunities ahead are being driven by large, mainstream market and technology trends and are bigger and more significant than ever. As we enter Q1 transition period, the new organization will work on the core and cross-company processes, redesigning them into standardized, scalable, unified, and up-to-date global processes while also implementing industry best practices. We expect an additional $3 million of SG&A cost. The new processes will be fully placed in Q2 in 2026 to support the new organizational structure as well as new IT platforms. As a result of the new organization, we expect $2 million in savings to cost reduction initiatives. The net effect is $1 million to support the new organization. A key trend driving our long-term opportunities is the emergence of physical AI technologies. Physical AI is the class of AI systems that perceives the real world, makes decisions, and drives physical actions through machine or control systems. It sits at the intersection of AI and machine learning, sensors, controls, and humanoids. As physical AI gains broader adoption, certain types are expected to have a bigger, longer-term impact than others. Vishay Precision Group, Inc. is looking to provide solutions in the humanoids and autonomous logistics. As a result, we are excited about our growth prospects. We have set an internal goal this year to grow our top line in the mid to high single digits as we anticipate a stronger second half reflecting strengthening economic trends and capital investments, as well as continued progress with our ongoing growth initiatives. Given our current pipeline from business development initiatives, we are setting a target of $45 million for 2026, which represents a 20% increase from 2025. Before turning the call to William, I would like to thank our employees for their dedication, their past year, and their embrace of the changes we are making. I want to thank our customers for their trust and confidence as we continue to work hard to exceed their expectations. I will now turn it over to William M. Clancy.
William M. Clancy: Thank you, Steve. Referring to slide nine and the reconciliation tables of the slide deck, our fourth quarter 2025 revenues were $80.6 million. Adjusted gross margin of 37% in the fourth quarter decreased from 40.5% in the third quarter and was impacted by $1 million related to unfavorable product mix and $1 million due to inventory reductions. In addition, we incurred approximately $1 million of discrete inventory and manufacturing impacts as well as a $400,000 impact from unfavorable foreign exchange. Sequentially by segment, adjusted gross margin for Sensors of 28.5% declined due to lower volume and unfavorable product mix and foreign exchange rates. The Weighing Solutions gross margin of 33% decreased from the third quarter primarily due to one-time manufacturing fixed costs, a reduction of inventory, and higher logistics costs. Adjusted gross margin for the Measurement Systems of 53.3% increased from the third quarter due to higher volume partially offset by discrete inventory adjustments. Moving to Slide 10. Our adjusted operating margin was 2.3%, which excluded restructuring costs of $697,000 and $110,000 of purchase accounting adjustments. Selling, general and administrative expense for the fourth quarter was $27.9 million or 34.7% of revenues, which was modestly higher than Q3 reflecting hiring for the new organizational structure and higher travel and commission costs. Unfavorable foreign exchange rates impacted the adjusted operating margin in the fourth quarter by $600,000 and for the full year of 2025, by $4.7 million. Our GAAP net loss was $1.9 million or $0.14 per diluted share. Adjusted diluted EPS was $0.07. The GAAP tax rate for the full year was 39%. For 2026, we are assuming an operational tax rate of approximately 26%. Moving to Slide 11. Adjusted EBITDA was $6 million or 7.5% of revenue compared to $9.2 million or 11.5% of revenue in the third quarter. CapEx in the fourth quarter was $3.5 million and was $8.5 million for the full year. For 2026, we are forecasting $14 million to $16 million for capital expenditures. We generated adjusted free cash flow of $1.3 million for the fourth quarter, which compared to $7.4 million in the third quarter. As of the end of the fourth quarter, our cash position was $87.4 million and our long-term debt was $20.6 million. The resulting net cash position of $66.8 million and the unused portion of our credit facility provides ample liquidity to support our business requirements and to fund M&A. Regarding the outlook, for 2026, we expect net revenues to be in the range of $74 million to $80 million, assuming constant fourth fiscal quarter 2025 exchange rate. In summary, quarterly bookings exceeded $80 million for the first time since 2023, resulting in a book to bill of 1.01. We exceeded our 2025 goal for orders from business development initiatives and are targeting a 20% increase in 2026. And we entered into a new phase with key organizational and strategic changes focused on accelerating growth and cost efficiency. With that, let's open the lines for questions. Thank you.
Operator: Thank you. To ask a question, please press star followed by one on your telephone keypad. If you change your mind, please press star followed by 2. When preparing to ask your question, please ensure your device is unmuted locally. Our first question comes from John Edward Franzreb from Sidoti and Co. Your line is now open, John. Please go ahead.
John Edward Franzreb: I actually want to start with the revenue guide. I am curious about if to achieve the mid to high single-digit AM guide that you are putting out there, how biased is that towards the Sensors segment given the recent bookings profile?
Ziv Shoshani: Well, John, good morning. First, we are fairly optimistic regarding the recovery in the marketplace. We have seen many, many signs. It started with the initial sign in the Sensors, but we are also quite positive about the positive signs regarding Weighing Solutions. Also for Measurement Systems, some of the segments are showing early signs of recovery. The steel market is still fairly soft, predominantly in China. But overall, we are optimistic regarding the business environment. In addition to that, we are also expecting additional book to bill above one in the second quarter. Now regarding execution and revenues, this is correct that while we are working on ramping up production for Sensors, we would expect to see higher revenues mainly in Sensors as of the second quarter. But you are correct. In order to achieve the mid to high single-digit, the second half of this year, we are looking to achieve higher revenues than the first half since we are in a ramp-up mode currently.
John Edward Franzreb: Got it. And regarding the gross margin impact, my back-of-the-envelope number was that it was roughly 41% in the quarter. Is that right to assume excluding some of those onetime items, if you will? And I am curious if any of them lingered or are lingering into the first quarter of 2026.
Ziv Shoshani: We have identified kind of unusual effects in the fourth quarter at the level of $3 million, as I indicated, which were related to year-end closing and also to launching new RFP systems at one of our sites. Those one-time effects, we do not expect to see in the next quarter. Therefore, we should see an improved gross margin moving into Q1.
John Edward Franzreb: Got it. And regarding the restructuring actions, and then I will get back into the queue. You expect $6 million. Is that $6 million expected to be realized in 2026, or is that an exit velocity coming out of the year?
Ziv Shoshani: The $6 million of cost reduction is expected to be realized in 2026 and is expected to be in the 2026 P&L. So all the cost reduction initiatives in regards to efficiency, product streamlining of manufacturing locations, and all other related activities would result in a $6 million cost savings which we expect to see in 2026.
John Edward Franzreb: Thanks, Ziv. I will get back into the queue.
Ziv Shoshani: Thank you, sir. Thank you.
Operator: Thank you. Our next question comes from Josh Nichols from B. Riley. Your line is now open.
Josh Nichols: Yes. Thanks for taking my question. I want to dive into some pretty significant organizational strategic changes here that you touched on during the call. What does this mean, do you think, for betting on the company's growth prospects overall? And then two, it has been some time, but I think you used to put out some longer-term financial targets about operating leverage and what the company could achieve. With these new changes, could you touch on those two aspects and if you plan to put any updates out on those potentially?
Ziv Shoshani: Yes. Absolutely. If you can recall, Josh, in November, we announced organizational changes in the company. The organizational changes were around two main new organizations, the COO and the CBPO. The purpose was to develop a new organization, which is a cross-divisional organization, which would allow us to standardize, unify, and improve and apply best practice processes. So to that extent, we are in the process of implementing the changes which we are going to see starting to take effect in the second quarter. The changes regarding the COO organization would be mainly around procurement, centralized procurement, supply chain, and also a much better organizational focus or operational focus around cost reduction, execution, and supporting our business organization. On the other hand, the CBPO's purpose is to create a centralized sales operation function to optimize centralized marketing and centralized business development to enhance our opportunities. In addition to that, I would like to state that we are launching a data project, an IT project, which would allow everyone to operate on one system. We are going to introduce more advanced BI and AI tools. So all in all, the whole organization focus is on execution from the cost side and to support the business on the other side, support the business in terms of better lead time, better quality, and enhance business development initiatives also from a cross-divisional and centralized marketing perspective. We see already that the new organization from a cost standpoint is building the foundation, and as we are moving ahead with the foundation, we are expecting, as I indicated, the $6 million. We have even a bigger target for the next three years to achieve a certain cost reduction. While also we have set internal goals for business development, for example, a 20% year-over-year, moving to a $45 million business development target for 2026. As you indicated, now we are in the process of changing the model to fit the new cost and the new financial model. So I would say that in the coming weeks, we are going to introduce a new model which will be based on the new organization.
Josh Nichols: Good to hear that that is going to be updated. And then, good also, the new third humanoid development customer that you are getting some initial orders from. I know you provided some very high-level detail about using humanoids at home and also for manufacturing. Anything you could tell us about the size of the customer relative to the other two and potential timelines? Are they looking to scale up to larger-scale production in 2026? Or are they still in the earlier stages of development overall?
Ziv Shoshani: The only thing I could say since we are under a very strict NDA is that this is a smaller customer than the other two. They are still in the design configuration stage. We are continuing the journey of engineering discussions with this customer to provide them with the best solution. I think that all in all, in the humanoid ecosystem, the ramp-up really depends on the customer commercialization and adoption of the humanoid-related application. We do not know when they are expecting to start reproduction or even ramping up. But I think that the important piece is that our infrastructure and supply chain are prepared to support them once they make the decision.
Josh Nichols: Thanks. And then last question for me. This has been a big topic. You see a lot of humanoid CES and other events overall. Is it fair to say that you are in discussions with multiple other humanoid developers also, and potentially, we could see some additional customers now throughout 2026? Or what is your expectation on that front on building out your humanoid customer base?
Ziv Shoshani: We do have a list of many humanoid manufacturers with whom we started a dialogue. At this point, we do not report that in our earnings call since they have not requested prototype orders. So the fact that there is a whole list of humanoid manufacturers in different parts of the world, we hope that we will be able to report that we are going to ship or start a more serious dialogue and ship prototypes to others. Yes. But no doubt, they are on our screen, and we are looking at many more humanoid manufacturers. Yes.
Josh Nichols: Appreciate it. Thank you.
Operator: Thank you. Our next question comes from Jason Smith from Lake Street Capital Markets. Your line is now open. Please go ahead.
Jason Smith: Hey, guys. Thanks for taking my question. Just following up on that line of questioning. Beyond humanoid robots, where it seems like you guys are seeing some really nice momentum, can you talk about which verticals in your new business initiatives are exceeding your original expectations?
Ziv Shoshani: As you know, in the past, we were looking at the ultra-high temperature ceramics, which is one of our products. We were also looking at some designs of precision resistors in the semiconductors. And very recently, we have also started a dialogue with what we call physical AI applications, which are autonomous logistics based on AI platforms, which some large manufacturers are looking at. That is an adjacent application to the humanoid but also based on AI. So we started a dialogue with one or two customers regarding autonomous logistics.
Jason Smith: Gotcha. And then following up on your comments on additional hiring within the Sensors segment, is this to mainly just build out that infrastructure more? Or are you seeing demand pull from specific verticals or end markets that are really driving this?
Ziv Shoshani: Hiring people at this point in time, the sensor business's main end sectors that are driving the demand are test and measurement, avionic military in space, and some general industrial applications. Those are the end markets where we did see some signs of recovery. We have seen much stronger order intake, and we are hiring direct employees and ramping up production. We do not believe that this is a short-term recovery. We believe that we should expect to see this recovery in the coming months.
Jason Smith: Perfect. Really helpful. Thanks a lot, guys.
Operator: Thank you. We will now pause for any questions to be registered. As a last reminder to ask a question, please press star followed by one. We currently have no further questions, and I would like to hand back to Steve Cantor for any closing remarks.
Steve Cantor: Great. Thank you, Claire. Before closing, I do want to note that we will be at the ROTH Investor Conference in March. And, of course, we look forward to updating you next quarter. Thank you all for joining the call today, and have a great day.
Operator: Thank you. This now concludes today's call. Thank you all for joining. You may now disconnect your lines.